Operator: Good day, ladies and gentlemen and welcome to the IHS Markit Fourth Quarter 2016 Earnings Conference Call. At this time, all participants are in a listen only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to introduce your host for today’s conference, Mr. Eric Boyer, Head of Investor Relations. Sir, you may begin.
Eric Boyer: Thank you. Good morning and thank you for joining us for the IHS Markit Q4 2016 earnings conference call. Earlier this morning, we issued our Q4 earnings press release and posted supplemental materials to the IHS Markit Investor Relations website. Some of our comments and discussions on the quarter are based on non-GAAP measures. Our non-GAAP or adjusted numbers exclude stock-based compensation, amortization of acquired intangibles and other items. The non-GAAP results are a supplement to the GAAP financial statements. IHS Markit believes this non-GAAP presentation and the exclusion of these items is useful in order to focus on what we deem to be a more reliable indicator of ongoing operating performance. As a reminder, this conference call is being recorded and webcast and is a copyrighted property of IHS Markit. Any rebroadcast of this information in whole or in part without the prior written consent of IHS Markit is prohibited. Please keep in mind that the conference call, especially the discussion of our outlook, may contain statements about expected future events that are forward-looking and subject to risks and uncertainties. Factors that could cause actual results to differ and vary materially from expectations can be found on IHS Markit’s filings with the SEC and on the IHS Markit website. After our prepared remarks, Jerre Stead, Chairman and CEO; and Todd Hyatt, EVP and Chief Financial Officer will be available to take your questions. With that, it is my pleasure to turn the call over to Jerre Stead. Jerre?
Jerre Stead: Thank you, Eric. Happy New Year and thank you for joining us for the IHS Markit Q4 earnings call. We will review our Q4 results, provide you with an update on the progress we’ve made on our integration work, and discuss some of the other highlights from the quarter and the year. 2016 was a remarkable year for IHS Markit, as we merged two world-class organizations at record time. This was done while executing upon the day-to-day work of delighting our customers and delivering solid financial performance in Q4 and 2016. Now, let’s speak to the high level financial results in Q4. Revenue of $874 million, up 1% year-over-year on an organic basis; adjusted EBITDA of $338 million with margins of 38.7%, representing an expansion of 510 basis points with legacy IHS margin expansion of 300 basis points year-over-year; adjusted EPS was $0.48, up 9% over last year. I’m pleased with our financial performance in Q4, which included some flow through for merger-related benefits earlier than our original plan. In terms of core industry verticals, transportation, which includes our automotive, maritime and trade, and aerospace and defense teams continued to produce very strong organic growth of 11% for the quarter. Financial services’ organic growth, which includes in our financial information, solutions and processing businesses performed well with 4% organic growth. In resources, our energy business continues to experience declining annual contract value due to headwinds, primarily within the upstream energy market. However, our chemicals and OPIS teams provided strong performance. CMS total organic revenue was down 3% year-over-year. Let me provide more detail on our integration efforts. Since the merger closed in mid July, we’ve been executing against our integration plan and are very, very pleased with our progress to-date. On our November guidance call, Todd spoke to our expectation of an accelerated amount of cost synergies that we now expect to achieve in 2017. Our initial cost integration efforts are focused on areas where we have some of the most significant overlaps such as shared services, corporate functions and facilities. We’ve also made good progress on revenue synergies. We’ve identify targeted financial customers for cross-sell of IHS products including energy and economic country risk. As expected, these are areas in which we have had early success. We’re off to a strong start and we look forward to providing you future updates. I also want to provide a few of our business segment highlights that were accomplished in 2016. Within transportation, we had a great year of innovation-driven revenue growth in auto where we have found new ways to support our customers in areas such as recall solutions, digital marketing, vehicle compliance and performance, and technology and components analytics. We also successfully integrated CARPROOF, which extends our market leadership of vehicle history reports across North America. Within our aerospace and defense business, we signed the largest contract in the history of that organization. In resources, we strengthened our leadership position by helping our energy customers manage through the uncertainty resolving from the worse downturn in recent history. We also successfully integrated the acquisition of OPIS, which extended our resources value chain into downstream pricing intelligence. And our chemicals business had yet another solid year with strong organic growth and a focus on margin improvement. Across financial services, there were a number of notable achievements. Within information, we continued to strengthen our indices franchise with key wins within our index administration business and ETF AUMs exceeded $100 billion. In addition, our bond pricing business completed the major wins with the world’s largest asset managers and distribution platforms. Our enterprise software business launched new hosted and managed service offerings that have short implementation time and have increased customer satisfaction. Within consolidated markets and solutions, we launched the Engineering Workbench that will drive the future strategic direction of the product design business. The TMT business, we made good progress on too with the rationalization of lower revenue non-recurring products and created larger recurring revenue product bundles. This is improving underlying cost structure and should improve revenue retention. Our ECR business completed an important migration of consolidated country risk capabilities to our Connect platform and expanded market penetration of our proprietary scenario at our Global Link Model. And with that, I’ll turn the call over to Todd.
Todd Hyatt: Thank you, Jerre. Before we get started with the results, I want to remind you that IHS was the accounting acquirer and as such Markit results are being consolidated in IHS’s results as if it were an acquisition. Reported results for Q4 include combined IHS and Markit for the full quarter. Reported results for the full year include Markit from the date of close, July 12, so full year results include approximately 4.5 months of Markit results. We have included Markit’s year-over-year organic revenue growth and FX revenue impact in our revenue growth rates for the post close stub period and have included the remainder of Markit’s stub period revenue as acquisitive revenue growth. We believe this is a useful way to show the true performance of the overall business. Now for the Q4 results. Revenue was $874 million, an increase of 57% on a reported basis. Adjusted EBTIDA was $338 million, an increase of 81% with margin for 38.7% and margin expansion of 510 basis points, and adjusted EPS was $0.48, an increase of 9%. Relative to revenue, we continued to see trends similar to those discussed throughout 2016. Total Q4 revenue growth was 57%; organic revenue growth was 1%; acquisitions contributed 60%; and FX was negative 3% headwind. The organic revenue growth of 1% includes flat legacy IHS organic growth and legacy Markit organic growth of 4%. Recurring organic growth was 1% and non-recurring organic declined 1%. Looking at segment performance, transportation growth was 18%, which included 11% organic, 9% acquisitive and minus 1% FX. Organic revenue growth was comprised of 9% recurring growth and 14% non-recurring growth. We continue to see very strong growth in our automotive business and stable growth in the other transportation businesses. We remain confident in our ability to continue to drive strong growth in the autos business due to the numerous growth drivers that we have discussed on prior calls, including continued penetration of new products within the used car portion of our auto business. And within the new car portion of our auto business, we expect to benefit from continued innovation around a number of key trends including a large number of new automotive technologies, global regulatory pressure to curb fuel consumption and emissions, and the increasing use of digital marketing and recall activity. Moving on to resources, revenue declined 1% including minus 9% organic, 10% acquisitive, and minus 2% FX. The organic revenue decline was comprised of minus 10% recurring and minus 3% non-recurring. Our consulting revenue was flat versus prior year. In Q4, on a constant currency basis, our resources to annualized contract value or ACV, which represents the annualized value of recurring revenue contracts, declined approximately $11 million, which was an improvement compared to prior quarters. For the full year, the organic ACV decline was approximately 10% and the year-end FX adjusted ACV was $620 million, excluding the OPIS. As previously stated, we expect continued ACV pressure in Q1 due to several multiyear agreements that will have some renewal pressure in the period. For the full year, we continue to expect our ACV to be flat. We are now forecasting the annual average price of oil to be in the high 50s in 2017. This more stable price environment will lead to more favorable capital spending budgets in 2017 than we have experienced over the past two years. This dynamic should allow our organic revenue growth declines to modestly improve from 2016 levels and we expect organic revenue growth to return in 2018. CMS declined 6%, which included minus 3% organic and minus 3% FX. Organic revenue was comprised of 1% recurring growth and minus 20% non-recurring growth. CMS was impacted by the loss of the significant customer contract in our RootMetrics business and the continued product rationalization within our TMT business. Our product design business continues to growth in the low to mid single-digit range. Financial services revenue growth was 1% including organic revenue of 4%, 1% acquisitive and negative 4% FX. Organic revenue growth was comprised of 2% recurring fixed, 11% recurring variable, and minus 15% non-recurring. Information organic growth of 4% was an improvement on the 3% revenue -- organic revenue growth delivered in Q3. Our indices business delivered double-digit organic revenue growth as ETF AUMs remain robust and our index administration business performed well. In addition, our bond pricing business completed some major wins. Our processing business delivered 9% organic revenue growth; this was largely driven by the loans processing business as the leverage financing and syndicated loans markets were strong. Derivatives processing had negative organic revenue growth due to lower credit volumes but did see higher rates volumes in the quarter due to increased Markit activity. Solutions revenue was flat year-over-year impacted by negative organic revenue growth within the enterprise software due to a strong prior year comparison following a recognition of non-recurring software license sales. Our managed service businesses had a solid quarter with double-digit growth within our digital and regulatory compliance products. Solutions organic revenue growth is expected to improve in Q1 due to improved levels of non-recurring software license revenue. Turning now to profits and margins, Q4 adjusted EBITDA totaled $338 million, up 81% versus a year ago. Our adjusted EBITDA margin was 38.7% and represented margin expansion of 510 basis points. Margin expansion benefitted from legacy IHS expansion of 300 basis points, and the inclusion of Markit results. Regarding segment profitability, legacy IHS had strong margin improvement in Q4 as we entered the year at a lower cost base due to the transition to our business line operating model and simplification and reduction of our centralized marketing, sell support and shared services cost structures. Transportation’s adjusted EBITDA was $101 million with a margin of 42.8%, up 320 basis points versus last year due primarily to margin flow-through from high revenue growth. Resources adjusted EBITDA was $92 million with the margin of 43.3%, up 110 basis points versus last year due primarily to segment cost reductions over the last four quarters, aligning resources to current business opportunities. CMS adjusted EBITDA was $36 million with the margin of 27%, up 300 basis points versus last year. Financial services adjusted EBITDA was $125 million with margin of 42.9%. In the quarter, we recorded $41 million of acquisition related expense. Full year 2016, we have incurred approximately $161 million acquisition related costs of which $90 million related to advisory and banker fees from the merger and $60 million related to cost to achieve merger synergy targets, including employee related severance and retention and contract termination costs, primarily related to our facilities consolidation initiatives. Stock-based compensation expense was $61 million, our effective GAAP tax rate was minus 7% and our adjusted tax rate was 24%. And turning to adjusted EPS. Q4 increased to $0.48 per diluted share, a $0.04 or 9% improvement over the prior year. Q4 free cash flow was $115 million. Our trailing 12-month free cash flow was $491 million and represented a conversion rate of 50%. Cash flow for the year was negatively impacted by restructuring and acquisition related costs paid in year of approximately $140 million. Excluding these costs, conversion would have been approximately 64%, in line with our long-term objective of the mid-60s. Turning to the balance sheet, our year-end debt balance was $3.4 billion, which represented gross leverage ratio of approximately 2.5 times and a net leverage ratio of 2.4 times, and we closed the quarter with $139 million of cash. In the quarter, share repurchases were $341 million or 9.4 million shares, an average price of $36.28. Additionally, we completed the Markit initiated ASR from December 2015, receiving 1.1 million shares. Our Q4 diluted weighted average share count was 432.9 million shares and our full year diluted weighted average share count was 316.3 million shares. Our year-end fully diluted share count was approximately 430 million shares. As discussed on our 2017 guidance call, we are planning to execute $1.2 billion of share buybacks in 2017. Relative to our buyback strategy, we executed a $250 million ASR effective December 1, 2016. In addition to the ASR, we plan to repurchase $200 million of shares in the open market during Q1. We expect to use a combination of ASRs and open-market share repurchases throughout 2017 to execute against our full year repurchase target. Moving to full year financial results. Total full year pro forma revenue for the combined Company was $3.451 billion, which represented growth of 5% including 1% organic growth, 6% acquisitive and minus 2% FX. In terms of reported financial results, which include 12 months of legacy IHS and approximately 4.5 months of legacy Markit, revenue was $2.735 billion, which represented 25% all-in revenue growth including flat organic growth, 27% acquisitive and minus 2% FX. Revenue growth for the transportation segment was 18%, which included 10% organic, 8% acquisitive and minus 1% FX. Revenue for the resources segment declined 3% including minus 9% organic, 8% acquisitive and minus 1% FX. Revenue for the CMS segment declined 2% including minus 2% organic, 2% acquisitive and minus 2% FX. And revenue growth for the financial services segment for the stub period was 2% including 4% organic, 2% acquisitive and minus 4% FX. Pro forma organic revenue growth for the full year for the financial services segment was 3% including organic growth of 5% for information, 4% for solutions and minus 1% for processing. Turning now to reported profits and margins. Adjusted EBITDA totaled $988 million, up 42% versus year ago. Adjusted EBITDA margin was 36.1% and represented margin expansion of 420 basis points. Margin benefitted from legacy IHS expansion of 300 basis points and the inclusion of Markit results. Stock-based compensation expense was $204 million and included additional expense from revaluation of Markit outstanding grants and acceleration of certain share awards associated with severance activities post-merger as well as conversion of ISH [ph] PSUs to RSUs. These items will continue to impact stock-based comp expense into 2017 as the accounting for stock-based comp amortizes expense over the life of the equity investing period. In terms of actual share issuance activity, we expect to issue 5.5 million RSUs and PSUs in 2017, which at the current share price equates to stock-based compensation grants of approximately $200 million, which will be amortized over the vesting period of the awards, generally three years. In 2018, we’ve planned to reduce RSU and PSU issuance to 4 million shares which at the current share price would equal stock-based compensation grants of approximately $150 million. In terms of taxes, our effective GAAP tax rate was minus 4% and our adjusted tax rate was 26%. The negative GAAP tax rate was driven by impacts from the merger of tax benefits related to merger costs, acquired tangible assets and the merger capital structure. Most of these impacts were excluded from our adjusted tax rate. The adjusted rate did benefit from the merger of capital structure. Finally, adjusted EPS was $1.80 per diluted share, an increase of $0.20 or 13%. We are reaffirming our 2017 guidance which we provided on our November 14th guidance call. In terms of highlights, this guidance provides for revenue in the range of $3.49 billion to $3.56 billion. This represents 2% to 4% organic revenue growth, negative FX impact of approximately $50 million, and acquisitive revenue of slightly less than $20 million from the CARPROOF and OPIS acquisitions; adjusted EBITDA of $1.375 billion to $1.4 billion, which represents margin of 39.4% at the midpoint and adjusted EPS of $2.02 to $2.08. Just to remind and help you with modeling, CERAWeek has moved from Q1 in 2016 to Q2 in 2017 and the Boiler and Pressure Vessel Code will be in our second half results this year. Prior year’s CERAWeek revenue was approximately $15 million at relatively high incremental contribution margin. Boiler Code revenue is approximately $10 million and is relatively low margin. As discussed at the time of the merger announcement, IHS Markit is well-positioned to drive attractive shareholder returns given our financial scale, substantial cash generation, return on capital strategy and revenue expense and tax synergy opportunities. This combination creates a very attractive financial lens. And with that, I will turn the call back over to Jerre.
Jerre Stead: Thanks Todd. I’d like to thank all our colleagues who have worked tirelessly over the past year in getting us to this point where we hit the ground running in December, the start of our very first fiscal year as a new company. Moving forward, we expect to benefit from improved energy markets and are focused on investing to grow the top line of our businesses to provide continued shareholder value-creation. We look forward to further discussing our strategies for IHS Markit’s exciting future at our Investor Day on April 26, in New York City. And now, Todd and I are ready to answer questions.
Operator: [Operator Instructions] Our first question comes from the line of Peter Appert with Piper Jaffray. Your line is open.
Peter Appert: Thank you. Good morning. The margin performance continues to be very impressive, Jerre. I’m wondering is it possible to break out for the fourth quarter the year-to-year improvement? How much is a function of the initiatives? They’ve been in place for a while versus the early flow-through from synergies. And then related to this, I’m just as always interested in your confidence and the sustainability of margin improvement from a fundamental perspective, given how much you’ve done already?
Jerre Stead: Yes. No, we’re backwards, Peter. Thank you. I’ll have Todd answer the first part of your question in a minute. High degree of confidence; when we announced this on March 21st, we said we expected over time to get ourselves to the mid 40s margins. If you look, we actually have three of our four business segments at 43% this quarter. So, we are making great progress, and I have a very high degree of confidence of that including ongoing productivity. As you know, the business model works so well and as we see organic growth in the future increase, we are going to see those margins continue to increase after all the synergies are in place by 100 basis points or more. Todd, do you just want to talk about the breakout?
Todd Hyatt: Yes. Peter, I think in terms of the initiatives that were in place, I mean legacy IHS has driven this 250 to 300 points throughout the year. As we have closed the merger earlier than we originally anticipated, we certainly got ahead of some of the initiatives relative to the merger cost opportunities. So, I think in rough numbers, I’d probably attribute somewhere on the order of $5 million to $10 million related to that early start gave us couple of cents, several cents in the EPS line, and Jerre referred to this, certainly helped in terms of the over performance. Importantly, as we entered the year, the commercial guys, very focused on continuing to drive margin in this 100-point range and then that coupled with the additional synergies that we’ve talked about from the deal, I think provided clear path to drive to the level of margin expansion that we talked about for 2017.
Jerre Stead: Just one quick wrap up on that. I’m very proud of all of the business leaders and all of the support service leaders. We’ve made great progress, continue to be ever more productive. Thanks, Peter. Next question?
Operator: Our next question comes from the line of Gary Bisbee with RBC Capital Markets. Your line is open.
Gary Bisbee: First question, just the resources, or two part question I should say, the resources bookings trend. Can you give us an update on how things have gone in the key yearend selling season? And Todd, if I heard you right, you alluded to still some renewals that you expected to be a bit worse in this season. Did I hear that right? And then just a last piece of that, what is the IHS in-house energy research team; how are they thinking about E&P company CapEx for 2017? We’ve seen a lot of idea -- obviously that’s a key leading indicator in a lot of forecasts for -- all over the map, what’s your view? Thanks.
Todd Hyatt: So, the sub base in Q4 was down $11 million. I talked about Q1; we do have a handful of really call the last of multi-years. So, in general, multi-year is not a huge percent of energy, but it’s probably 25% to 30% of the contracts. So, we’re really cycling the rest of those in Q1. And we know that there will be some pressure in Q1, probably order of magnitude, think of it in the context of what we saw around Q4. As we look ahead and we really do look at account at a relatively granular level, we feel pretty good about where we’re at for the remainder of the year, as we look at the large accounts and really the cycling of those. And we are seeing some easing in the pressure at the tail, sort of the reductions, small levels of reductions but end up becoming a relatively large number. So, looking ahead to Q2, we feel like we’re well-positioned to drive to the flat level and then accelerate from there. As far as CapEx, probably the big change as we last talk about it is we do see increasing spending in North America and the U.S. So, we see capital spending levels there, certainly well in the double-digits in terms of percent increase. Rest of the world, our experts still see, I think a relatively flattish capital spend for 2017.
Operator: Our next question comes from the line of Bill Warmington with Wells Fargo. Your line is open.
Bill Warmington: I just want to start with a comment, which was to congratulate you on the year-over-year organic revenue growth improvement in all four divisions; that’s unusual to see. So, the question is whether you’re seeing any -- actually two-part question. The first is on the synergy targets for 2017 in terms of the costs and revenue. We have talked in the past about $35 million for costs and $15 million for revenue; your thoughts on how that’s tracking? And then the second part is whether you’re seeing any change in demand from clients for the KYC and KY3P based on the discussions around reduced regulation or financial services?
Jerre Stead : Thanks Bill. Todd, pick up on the last part and then I’ll pick up on the organic growth.
Todd Hyatt: I think on KY3P piece, we continue to see good traction in that and I think importantly really good commercial relationships with important financial partners in that area. But that’s not going to be a net positive contributor for several years. But it is an area that we’re investing in. And I think we do see an opportunity for that business longer term. I think KYC is a platform that we continue to evaluate opportunities to scale that platform. Once again, we don’t we see that being a near-term contributor to the financial results.
Jerre Stead: I’ll pick up from there. In fact, you and I talked about that very that very thing on the way over this morning. To the first part of your question, Bill, just for clarification, we actually gave guidance of $10 million of synergy revenues in 2017. We feel very good about that at this point; we track -- actually I give a report daily. We’re seeing good traction, particularly as we sell historical IHS products into the financial markets just with great account management participation. And we’re starting to see flow-through of Markit products into the IHS businesses, so we feel good about that. We feel very good about the synergies from a cost standpoint, as I mentioned earlier. Couldn’t be more pleased, the effort that everybody has done that led by Lance doing integration work and supported by the rest of us is very much on target. And the guidance, the question was asked when we gave the guidance we were at $35 million or better. Todd gave a range and I think that applies now that we’re north of the $35 million, probably up to $45 to $50 million in 2017. So, we feel very good about that. And then finally on the organic growth, just one thing I’d remind everybody of, make sure you pick up on what Todd said. We actually have $50 million negative headwind on currency in 2017. So, despite that, I think we’re quite positive today across the board of seeing that midpoint of the guidance that we’ve given for organic growth. Thanks Bill.
Operator: Our next question comes from the line of Jeff Silber with BMO Capital. Your line is open.
Jeff Silber: Thanks so much. You gave us some data about retention in your resources division. I was wondering if we can get some similar anecdotal data about retention in your other three major divisions. Thanks.
Jerre Stead: Please put him back on operator. Let me make sure what question on retention, which part of retention are you referring to? Can you put him back on operator, please? Okay. I’ll assume then that you’re talking about our renewal rates. And the renewal rates are very high with our thousand largest customers in the high 90%, in fact even including the resources business. And the recurring business and our financial services business is equally high. So, we feel very good about that. Retention rates of customers is high, very high. And you’re right, Todd said we’re seeing the resources at the end of the chain, the tail if you will of the smaller one, that too stabilizing. Sorry, if I misunderstood the question. Next question?
Operator: Our next question comes from the line of Andrew Steinerman with J.P. Morgan. Your line is open.
Andrew Steinerman: Hi, Jerre. Could you go over in more detail the revenue dynamics around fourth quarter solutions, which major products are growing, which are dragging, and then be more specific about that tough software comp you talk about year ago?
Jerre Stead: Yes. We’ll have Todd pick up on that.
Todd Hyatt: So, Andrew, I think we saw in the solutions area and continue to see that the Markit On Demand product performed very well, CTI Tax performed very well, Counterparty Manager, so the regulatory compliance products, I think there were -- the WSO software, good grower. There were some tough comps in some of the software products, so tougher comp on EDM and analytics. EDM was still a grower; analytics had a really difficult comp, so a bit of a drag there. We did feel good about the sales in December and we do expect to see improvement in that solutions growth rate in Q1, which I referenced on the call.
Operator: Our next question comes from the line of Jeff Meuler with Robert W. Baird. Your line is open.
Jeff Meuler: Just follow-up on that. The financial market solutions segment, just remind us roughly, how much of that revenue is non-recurring or license and on the recurring piece, how is client retention and how has it been trending?
Todd Hyatt: We don’t report on the recurring, non-recurring in this legacy sub segment. I mean, we’ve always looked at it in legacy Markit in an aggregate manner. Just to provide a bit of color, I would say that the split is probably 60-40…
Jerre Stead: 55-40.
Todd Hyatt: 55-40, somewhere in there. And I think the customer retention continues to be very strong in the items that are -- the renewal or the continuing software service like the WSO area, the Markit On Demand area.
Jerre Stead: I’d just add to that. One of the great things with the businesses we’ve merged them is indeed that renewal or retention of customers, we provide really critical products, must have products that are very sticky and help our customers in every way. So that’s a great strength of our business. Thank you. Next question?
Operator: Our next question comes from the line of Manav Patnaik with Barclays. Your line is open.
Manav Patnaik: First, just two parts, one is just basic one. Todd, the $620 million FX adjusted CV, I guess what is the FX hit to that number, just trying to see if we have the right comparables? And then, if you could just help us understand in the non-subscription piece of your auto and energy businesses, like what is the mix of the different non-recurring pieces in there, just to help us try and understand what the potential for recovery that would be especially on the energy side as things improve?
Jerre Stead: Thanks, Manav. Do you want to pick up the first part?
Todd Hyatt: Can you go through the second part of that question, Manav?
Jerre Stead: I’ve got it.
Todd Hyatt: Okay. So, the FX in year on the $620 million was $10 million? And that was it.
Jerre Stead: So, non-subs, Manav, on auto, a significant portion of that is on recall that has done well and will continue to. The recalls is a good piece of that and then one-off projects also are strong, as Todd mentioned and continue to be. Your question on energy, upstream if you will, is a very good one. If you think about it being an early indicator, Todd said on script that the consulting was flat year-over-year, very good indication of what’s coming and we expect to continue to track there. That’s by far the biggest piece of the non-subscription base in energy. Thank you. Next question?
Operator: Our next question comes from the line of Kevin McVeigh with Deutsche Bank. Your line is open.
Kevin McVeigh: Just at a high level, reaffirmed 2017, which looks great, but it seems like energy is coming in a little bit stronger, the synergies are clearly coming stronger. Are we just being conservative with the 2017 reaffirm or is the offset the higher FX?
Jerre Stead: I’m curious to hear Todd’s answer on that myself.
Todd Hyatt: We feel like we’re well-positioned as we enter the year. But you always have work to do, but we feel like we have the levers available to us to deliver. We are encouraged with some of the things that we saw in the quarter. I think we saw a generally improving level in financials, and it is where we need to get to on energy. But we have a lot of work to do for the year. So, we feel like we’re positioned the way we need.
Jerre Stead: Yes. And I agree with that, kidding aside very much. This is the beginning of my 38th year as CEO of public companies. I would tell you, I have high degree of confidence in our ability to deliver that guidance. And we always want to be balanced and have the opportunity to outperform as we go forward. Thank you. Next question?
Operator: Our next question comes from the line of Andrew Jeffrey with SunTrust. Your line is open.
Andrew Jeffrey: The transportation performance has been really pretty impressive and consistently so. I wondered if you can talk a little bit about how much of that is sort of intrinsic demand driven or same-store sales versus new products. And kind of as a corollary, what’s the pipeline for new products like in that segment and how long does the cycle run in your mind for new solution introduction?
Jerre Stead: Great question. Todd, pick up on it, because it’s important one.
Todd Hyatt: Well, I mean, I think you can look at used and new. And in used, what Dick and team have done is we have this great asset and the vehicle history report that we continue to drive additional market opportunity and product off of that. So that’s where you look at used car listings, you look at valuation, you really look at the one-time to life-time strategy that team has built on. But even in the core business, we continue to see opportunity to grow the core business through different markets, the business insurance area has been a strong market. We do continue to drive advantage into independent dealers and that creates opportunity for revenue uplift. And importantly, I think the market positioning that that asset has allows it to drive revenue in different ways with new products into the future. So, we remain very optimistic about that business. When you look at the new car area, I think that Edward and team have been very good at creating new products. The recall has been good, but we’ve built additional functionality around the recall offering that’s created more wallet share. Digital continues to be very strong and autos. We talked about the new O2 emissions, analytic product that’s been very strong. And that theme is very connected to their customers and I think they consistently are looking at opportunities to build new product offerings into the market, based on the customer requirement. So, we feel like it’s a strong market but we’re well-positioned at managing that well.
Operator: Our next question comes from the line of Alex Kramm with UBS. Your line is open.
Alex Kramm: I just want to come back to the margin question at the beginning and drill in particular into the resources segment. I think the margin was down quarter-over-quarter for the first time this year. So, just wondering A, can you remind us of the seasonality a little bit and then maybe give us little bit more color on next year? I know, you’re looking for further improvement, but I know the first quarter is going to be challenging again, then maybe a recovery. So, maybe talk about the trajectory of the margins a little bit more, Todd. That would be helpful. Thank you.
Todd Hyatt: Yes. I mean, I think resources, given the revenue pressure through the year, the fact that we were able to grow margin consistently was a strong story. And that was driven -- there is some portion of cost that gets allocated to all the business line, that’s probably about a third and then two thirds for the cost, to direct cost. So, it’s a benefit of overall lower allocated costs but also resources did align the cost structure to the reality of the commercial opportunities. I think as we look ahead to next year, long-term it’s hard to drive margin expansion without the revenue topline. We will see as we go through the year, improvement in the organic revenue decline trajectory in resources. And I think that will allow us to maintain a margin in that low to mid-40 range. But it won’t be a margin acceleration year for resources in 2017.
Jerre Stead: And as the revenue comes back…
Todd Hyatt: Then, we’ll start to see the margin, but I wouldn’t think of this accelerating margin for resources in 2017.
Jerre Stead: Agreed. And then the other thing that’s the beauty of our business in total at HIS Markit is that when we get that kind of organic growth, it becomes wonderful free cash flow machine with negative working capital that we’ll see happen in the future. Thank you. Next question?
Operator: Our next question comes from the line of Shlomo Rosenbaum with Stifel. Your line is open.
Shlomo Rosenbaum: Hey, Jerre, I have one two-part question because that seems to be the way to get through your one question filter.
Jerre Stead: Yes. I’m going to have to ban the three parts.
Shlomo Rosenbaum: Okay. Can you just -- the first part is can you just give a little bit more detail on the products that are doing well on a cross-sell from both IHS into Markit and Markit into HIS? And then, as a second part, just maybe this is for Todd. How does the change in oil prices that we’ve seen more recently impact the thought of ACV improvements or the kind of troughing in resources as we go through the year? Do we have like kind of an improvement kind of coming in a little earlier; if you can go through both of those two parts to the same question?
Jerre Stead: Yes, I’ll pick up the last part actually and have Todd pick up the first part. Our current guidance actually just released last Friday by our energy experts is the high $57, $58 a barrel in 2017, which is up obviously and an improvement. We have said consistently that’s being stable is what’s critical. There is actually interesting articles including one today, I believe it was in the Wall Street Journal about when you get above $55 a barrel, particularly with a lot of the shale, but that slips into the profitability standpoint. And they have made great productivity improvements over that time. So that’s the good news. The more important thing though is what is driving capital and a capital increase. As Todd said on at the beginning, what we see is the capital spending up in north -- in the U.S. specifically, also Mexico; other parts of the world still pretty flat with some increase. But at fields like we are at the point -- your question is a good one, the trough. Todd gave you thoughts on where we’ll be in the Q1; he also said that we would in the year flat to up. So I think that feels is as good as we can get. Todd, do you want to pick up the other part?
Todd Hyatt: Yes, I think on the cross-sell, certainly the most -- the one that jumps out is really deeper penetration of IHS products, energy, chemicals, transport into financial end markets. And Markit has a great account manager program and their job is to grow dollar share in accounts by selling products and services or identifying opportunities to sell products and services across IHS Markit into existing customers. So, I think there, you’re looking at Vantage, Performance Evaluator, legacy Herold, [ph] the M&A tracking, some of the energy chemicals, inside information. And we really do see a pre-OPIS, the pricing data, we see a very robust pipeline. And then I think ECR, the Economic Country risk. In the other direction, items that are probably a longer build in terms of sales -- longer sales cycle, but we do see opportunity or some of the valuation products to be sold into energy customers. And also the electronic data management we think is a product that can certainly be sold, outside financials into some of these larger industrial customers. So, those are the areas that we really have teams focusing on right now.
Operator: Our next question comes from the line of Anjaneya Singh with Credit Suisse. Your line is open.
Anjaneya Singh: Just building on the prior question actually, Jerre, could you speak a bit more to some of the early successes that you guys are having on the revenue synergy front? Just hoping for some thoughts on what you’d attribute those early successes to; are you finding these customers to be relatively white space for you guys; is it your push effort; are you doing any special discounting here to gain a foothold? And then for Todd, how far are some of these new products you just mentioned from fruition?
Jerre Stead: I’ll actually answer both. The new products Todd is talking about are in place and will continue to be. Great question. Here is a way to think about it. We have started, we -- historical IHS investing with new products and each being critical one to bring us to the financial community world of what we can provide to help them make the right investment decisions on an energy standpoint. The products that Todd just mentioned a minute ago were existing products. I couldn’t be happier with the progress we’ve made on those. When I was in Asia few weeks ago with Shane and Lance, we were privileged to see and book the largest Vantage order we have made in the history of the Company. So, the reason we’re getting the quick wins is they were products that we made large investments in at HIS, including the ones that Todd talked about at ECR too that now shift with really outstanding account management organizations that would have taken us, I think years to accomplish on our own at IHS, so, existing products, selling into financial communities with great account management leadership. Thank you. Next question?
Operator: Our next question comes from the line of David Chu with Bank of America. Your line is open.
David Chu: Good morning. I know it’s a little bit early, but any thoughts on the potential around deregulation in financial services? So, just trying to get a sense if maybe that’s a net positive as trading volumes improve or a net negative as there is just lower regulatory related revenue?
Jerre Stead: That’s one we talk a lot about. Go ahead, Todd, because it’s a great question.
Todd Hyatt: Yes. I think it’s probably a net positive. I think healthier, more robust end market is typically a good thing. It could for a product build like a KYC, it could make that more challenging if that becomes less of a focus. But as I said, we don’t really see that as being a contributor in the near-term. But in general, I think I would take healthier end markets.
Jerre Stead: Very much agreed. I’d only add to that, there is a lot of optimism in the financial community today as there is in the energy community with all of the programs that President-elect Trump has talked about. I think we all need to remember, there is a lot that has to be accomplished with legislature before those actually play out. So, I think from 2017, it is positive, but I think it’s in the future, we’ll see if they play out and how well they do. Thank you. Next question?
Operator: Our next question comes from the line of Joseph Foresi with Cantor Fitzgerald. Your line is open.
Joseph Foresi: Hi. I was wondering if you could talk about maybe the legacy financial services business a bit. How is the move to electronic trading in Europe impacting results, any way to quantify the positives in that business versus the headwinds? And can you talk about the loss of the client? I think you said there was one in CMS.
Todd Hyatt: We don’t see an impact on the electronification in Europe. I mean, I think that’s going to be further out. So, we don’t really see an impact in 2017. RootMetrics, I think we talked about this on Q3, we did lose a customer end of Q2 and that has weighed on the CMS segment, that’s really bad plus this reduction, planned reduction in non-subs as we move a lot of what were previously sold as reports to larger subscription products. I think that has created a drag in CMS for the entire year. Strategically, it positions us well. We will have a growing subscription product in CMS or in technology as we look ahead. And I think importantly in that segment is the core product design business, the engineering work bench continuing to perform in this 3%, 4%, 5% growth range. The other piece of that business is ECR. And I think ECR in general should see some level of improvement in 2017. I think just in general, a more active set of markets is a positive thing for that business.
Operator: Our next question comes from the line of Toni Kaplan with Morgan Stanley. Your line is open.
Toni Kaplan: In the legacy Markit, organic business, the organic growth has been about sub 5% for the last six quarters. Are there any secular trends that you would call out there or do you view it as all cyclical? Solutions has been at a lower level; you explained the drivers for that earlier in the quarter, but info also has been sort of toward the lower end of its historic range. And so, just wondering about those trends and then basically when you expect the businesses to improve, and is 5% to 7% still the right long term target or have you reset that a little bit lower?
Todd Hyatt: No, that’s fine Toni, please to. Yes, importantly, the information business within the legacy Markit continues to be a very consistent 5% and the franchise, the loan franchise, the pricing reference data franchise, I think the growth we see in bonds, all very positive signs. When we talk cyclical secular, I think the thing that Jeff and Lance would talk about is really the processing business, I think Markit, very transparent relative to processing and the impacts the processing had on growth rates in 2015-2016. We saw processing volumes starting to pick up a bit, we’ve seen going back to Q3 some improvements there and I think little bit more stability in process. And I think solutions, continue to have the right strategy in solutions. And you see some volatility around some of the software that I talked about on this call. But I think the other thing I talked about is in general, I do think that improving financial markets would be a net positive to the portfolio.
Jerre Stead: And to wrap up on your question, Toni, I think we actually talked about it recently, I think the 5 to 7, mid to long-term organic growth is the right number for us as we go with forward planning. Next question, please?
Operator: Our next question comes from the line of Andre Benjamin with Goldman Sachs. Your line is open.
Andre Benjamin: I just want to go quickly back to the transportation business. One, you talk a lot about new products that are penetrating, but just wonder how much the growth outlook would be just tied to the underlying auto sales growth and what that will look like if sales were flat in the U.S. and then where you stand in the process of generating more transport revenue, internationally?
Jerre Stead: So, I’ll start and Todd can pick up. As we said, 60% of that revenue is used car. Used car business actually accelerates if new car goes down, has historically. We are stronger than ever before now with the merger of the business we acquired last year and giving us great strength in North America. So, feel good about that. On the global business, Todd, do you want to pick up on that, because we really don’t see an impact on the overall car sales versus our business?
Todd Hyatt: Yes. I mean, it’s just a smaller part of the portfolio. But we continued to look at growth drivers. I mean for example in car bags, we continue to have handful of countries that were operating and it’s relatively small I think. Polk has a good business in Europe and certainly a growing business in Europe, but it’s just a smaller part of the portfolio. In general, we don’t see anything that will prevent us from continuing to grow outside of North America. I think on the question of really SARs [ph] and car sale volumes, if you think about used cars, as Jerre said, no impact on it, actually probably countercyclical. If you look at what we do, we really help dealers manage their sales marketing channels and significant investment made in those. And regardless of how many cars are being sold, you still need to drive brand loyalty, still need to drive conquest. These things are still very important. So, I consistently say for us healthy end markets, I mean we don’t want end markets that are declining and huge cost cuts, but in general I think what we need is a healthy market to be successful and grow our business.
Operator: Thank you. And our last question comes from the line of Hamzah Mazari with Macquarie. Your line is open.
Hamzah Mazari: Good morning. Thank you. I just wanted to get updated view on the current sales force structure as it currently stands and particularly, how much of an opportunity there remains on productivity. Given the legacy IHS had been moving towards an inside sales model, you guys had been pushing potentially higher quota levels. And so, just trying to get a sense post-merger where you guys stand on that and where the opportunity is. Thanks.
Jerre Stead: A great question to wrap up, very pleased with the shifts we’ve made in the legacy IHS business to having all the sales organization report into the businesses, 1.2, our target on inside sales historically has been it as much as 80% of the customers, which would be about 18% of the revenue on inside sales. We started that work with the Markit businesses and feel very good about what we can do over time with inside sales there too. Todd has the sales operations reporting to him, and I’ll have him wrap up on this question, because it’s an important one. And I’m very pleased with the progress in total.
Todd Hyatt: Yes, I think the longer term opportunity, IHS -- legacy HIS, very focused on the inside sales, still more we can do there. I do think that’s an opportunity within legacy Markit. I think legacy Markit has a great account management program. And they have really structure where they have sales specialists that support sales to -- relative to specific products, but they also have an overlay of account mangers. And that provides a great footprint to drive cross-sell of products across both companies. And we think that it’s a program that IHS had at a much smaller level. We think that does present an opportunity longer term.
Jerre Stead: I think that’s a great one to think about where we’re learning from each other to really improve the total in the years ahead. So, thank you very much. Eric will wrap it up in just a second. We go into 2017 with amazing accomplishments in 2016. I’m very pleased with the progress across the board and look forward to reporting Q1’s results on March 28th and particularly look forward to April 26 when we’ll layout a full strategy of where we’re at, where we’re going to go in the future. Lance and I’ve been working on that, actually have sent that out to our Board, gotten great response on that and we’re excited about sharing it with you on April 26. Eric?
Eric Boyer: We thank you for your interest in IHS Markit. This call can be accessed via replay at 855-859-2056 or international dial-in 404-537-3406, conference ID 41174373 beginning in about two hours and running through January 24, 2017. In addition, the webcast will be archived for one year on our website at www.ihsmarkit.com. Thank you, and we appreciate your time and interest.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude the program and you may all disconnect. Everyone have a wonderful day.